Operator: Hello and welcome to Basic-Fit's Q1 2025 Trading Upodate Call and Live Audio Webcast. Please note that, today's conference is being recorded and for the duration of the call your lines will be on listen-only. However, you will have the opportunity to ask questions at the end of the call. [Operator Instructions]. I will now turn the call over to your host for today's conference, Richard Piekaar, Head of Investor Relations. Sir, you may begin.
Richard Piekaar: Thank you, Alan, and welcome to this call. With me today are CEO, Rene Moos, who you all know well, and our new CFO Maurice de Kleer. And in this call, Rene will give a short introduction after which both Rene and Maurice will be available for questions. This call is being broadcast live on our website and a recording of the call will be available shortly afterwards. As usual, I would like to point out that safe harbor applies. And with that, Rene, I hand it over to you.
Rene Moos: Thank you, Richard, and welcome everyone to today's call. As stated in our press release this morning, we are pleased to report strong growth figures for the first three months of this year. And we are comfortable with our full year guidance as communicated in the full year 2024 earnings release a few weeks ago. During the first three months, we expanded our club network by 41 clubs, reaching a total of 1616, up from 1506 clubs in the first quarter of 2024. In Q1, we opened 43 and closed two clubs. We opened 70 new clubs in France, where we now operate 875 clubs. In Spain, we increased our club network by 11 to 222 clubs. In Benelux, we increased the number of clubs year-to-date by four to 484. In Germany, we increased the number of clubs by nine to 37 clubs. Our membership base grew by 213,000 to 4.47 million, representing a 10% increase year-on-year. All countries experienced growth with France and Spain showing the strongest performance. The membership growth in France was partly driven by our successful 24/7 club openings. Compared to last year, our revenue for the first three months increased by 17% year-on-year to EUR332 million. The increase in the results was a result of a strong growth in memberships, combined with a higher average revenue per member, partly offset by one sales day less as 2024 was a leap year. The average revenue per member per month in the first quarter increased to EUR 24.25, compared to EUR 23.57 during the same period last year. The average improvement in average yields was partly driven by the introduction of a new membership structure in the beginning of 2025 with three options: Comfort, priced at EUR 24.99; Premium, priced at EUR 29.99 and Ultimate, priced at EUR 34.99. The main difference from the previous membership structure is that, premium members can now bring a friend only once a week, compared to the unlimited times previously, while ultimate members can bring a friend at any time and freeze their membership 2x four weeks a year. This membership structure is implemented in all countries except for Germany. So far, we see very positive results in terms of uptake of the ultimate and premium membership across all regions, similar to premium uptake in prior membership structure. The positive results in the first three months of the year put us in a good position to achieve our full year targets, as outlined in our full year earnings release in March. We are on track to add 100 clubs to our net club network and achieve revenue of between EUR 1.375 billion and EUR 1.425 billion in 2025. We also maintain our outlook for underlying EBITDA less rent of between EUR 330 million and EUR 370 million in 2025. And for overhead costs including marketing as a percentage of revenue of between 11.5% and 12%. We are very happy to announce that, we have secured a new EUR 200 million revolving credit facility with ABN AMRO and Rabobank set to mature in June 2027. With this additional facility and our positive free cash flow in 2025 and 2026, we expect to have enough financial liquidity and meet any question requests from shareholders who choose to exercise their put option in June '26. We expect to launch the EUR 40 million share repurchase program in Q2 2025 and reduce our leverage to below 2x in 2026. With that, I conclude the presentation. And Maurice and I can now take your questions. Operator, please open the line for questions.
Operator: Thank you, sir. [Operator Instructions] We will take our first question from Marc Zwartsenburg, ING. Your line is open. Please go ahead.
Marc Zwartsenburg: Good afternoon, everybody, and thanks for taking my questions. My first question is on the the clubs in France, the 24/7 clubs. Renee, maybe can you give a bit more color on the in growth you're seeing there that would cover for the EUR 35 million investment? Can you give a bit more color maybe how these clubs are performing versus other, let's say, mature clubs in in France?
Rene Moos: Yep. Yes.
Marc Zwartsenburg: Let's take them one by one.
Rene Moos: We see already in the first quarter that we see much better results. So, we're comfortable that we'll be able to absorb the EUR 35 million additional cost definitely in 2026. So we'll take this year to grow to the amount of extra members that we need to cover that cost. And yes, of course, it is very costly. But, we focus on being there for our members. So we try to lower the hurdles for people to join. And next to price always open is crucially important. And as you know, we have made huge investment in technology and systems, which really allows us to operate in the Benelux without staff, and that works really well. We can't do that yet in France, but we really believe that in the future that will also happen. And again, that is what we hope and expect, but if that doesn't happen, then in time we can change to a more efficient option because, currently, we're working with a structure that we can stop any month, and that is actually a costly affair.
Marc Zwartsenburg: So you're basically saying that if the situation stays at the Bronx, that you have to have someone in the gym. If it's % sure that it that is the law going forward, that you will transfer maybe to a more cheaper do-it-yourself model or so. Is that basically what you are trying to say?
Rene Moos: Correct. That's exactly what I'm trying to say, yes. So meaning, we now outsource it with where we can cancel it on a monthly base. That's costly. So if it's clear that, it's never going to happen, then we will do it with staff, and then it will be, yes, around half of the cost that we're paying currently.
Marc Zwartsenburg: And if it's a more positive will be that you are allowed to do it staffers and you can kick them out in a month time. That's what I'm...
Rene Moos: Correct. That is actually what we are expecting.
Marc Zwartsenburg: Okay. And then maybe on the -- can you give us maybe some numbers on the on the 24/7 gyms? Are are they indeed showing, let's say, more than 30, at least 30 more member in growth versus a normal club? Is that something you're seeing? Because you run the pilots. You have now three months of in growth or promotions. Is that what you're seeing?
Rene Moos: Yes. Of course, the first quarter, you always have more joiners than, let's say, the summer period. So you cannot say it exactly. But what we have seen till now, till April, we see definitely a good in growth that we can reach this around 300 members on that 24/7 clubs. We don't really look at it that way. We actually look at it at like, if you have one club 24/7, then the clubs around it can also use it. So we're looking at we need around 100,000 extra members. And, if you have a cluster of three clubs, then we do one club 24/7. So, all in total, we need a 100,000 extra members, more or less, in France, and we're comfortable that we will reach that this year.
Marc Zwartsenburg: Okay. Very clear. Then a question, I think, maybe for Maurice, is on the refinancing of the convertible. So you secured now the facility, the EUR 200 million facility, that there still say a EUR 100 million that you need to generate from your free cash flow. Give and take that, your free cash flow, for whatever reason, does not come up to, let's say, EUR 100 million by June next year, do you have enough flexibility then to still manage that with your clip rollout or with your payables that you can bridge that gap and be absolutely sure that, you can finance it from your funds?
Maurice de Kleer: Yes. Good question, Mark. Yes. So, first of all, we're quite comfortable that we will have enough cash flow to repay the remainder of the convertible bond of EUR 100 million, but we're also actually quite flexible in our club openings and also in the timing of our club openings. So the answer is yes.
Marc Zwartsenburg: Yes. So you're not, by contract obliged for them, let's say, in the first half of next year. You can phase it out to the second half if needed, if you will fall short of it.
Maurice de Kleer : Yes. Of course, some of some of our clubs are already contracted, and and we will open them at the beginning of '26, but we are still flexible.
Marc Zwartsenburg: And then maybe on the guidance you still have pending there from the Capital Market Day, so the EUR 460,000 per mature club. The question was also asked on the full year numbers there. But given what you given the investment you're doing in France, is it then logical to assume that it's more a guidance, let's say, for '27? And and do you believe still that it's feasible given the trends you're seeing in your end market?
Rene Moos: Yes. I think it's EUR 460,000 per mature club is definitely feasible. If you look at the 1,200 mature clubs that we have now, that means we need 200 more members. I really see no reason that we will not reset, especially taking into account the low fitness penetration in the countries where we're active. So, yes, there's still a lot of room for growth. Not sure if it's going to be '26 or '27. We have a combination of new club openings and we still have -- call them the Corona openings. So but we are convinced in time, just don't know exactly which month, which year. But in the near future, we will we are very comfortable that we reached the 460,000 EBITDA on a mature club.
Marc Zwartsenburg: Maybe a final one for me. It was not in the press release, but is there anything to mention or some information about the franchise business still on track, some for the second half launch?
Rene Moos: Yes. So, we only want to announce, when we have concrete steps. So we will announce more detail in time, but we need to have a good contract with the right partners. We will take the time that we need to do this. So it's not really a deadline for us, but I understand your question. So our advice for modeling purposes, we don't expect any meaningful contribution in '25 or meaningful in 2026 from franchise. We want to start with the right partner on with the right contract.
Marc Zwartsenburg: But it's still on track?
Rene Moos: It's still on track.
Marc Zwartsenburg: I might have a follow-up later on, but I'll leave the floor for someone else to also ask a question. Thanks very much.
Operator: We will take our next question from Robert Jan Vos, ABN AMRO. Your line is open. Please go ahead.
Robert Jan Vos: Hi. Good afternoon, everyone. I have a couple of questions as well. You added quite two members in Q1, and that's already flagged at the full year results. Can you share with us what the number of memberships would be in 2025 in your base case scenario? It's my first question.
Rene Moos: Base case scenario. Yes. I'm not sure. As we, explained a few weeks ago is that, we want to focus on two things, turnover and EBITDA. So, we do not really want to communicate on growth, just looking backwards. So every quarter we will communicate how many member in growth that we expect. But if you look at last year, when we grew with around 450,000 members and around 180 clubs, we will do less clubs now, so 80 clubs less. So logical, it would be a little bit less growth this year than last year.
Maurice de Kleer: But again, we don't want to really set the amount. We just took that out. We want to focus on EBITDA and turnover.
Robert Jan Vos: Okay. Thanks. Yes, you already said something about the 24/7 clubs in France concerning memberships. But I was wondering the additional costs that you flagged. What is the conclusion in Q1? Are the additional costs for these 24/7 clubs in line with your expectation range in Q1?
Rene Moos: Yes.
Robert Jan Vos: Okay. Maybe a question for Maurice on the EUR 200 million facility. Is that facility fully linked to the convertible? In other words, what happens if there are no redemptions in the theoretical case? Does the facility then cease to exist, or do you still have it then for the year thereafter?
Maurice de Kleer: Yes. Robert, as you're right. So the new facility is linked to the redemption of the convertible bond. And but if our convertible bondholders and everyone has the ability to decide for themselves, so it's not a zero one situation. If they're all staying in, then we don't need a facility, and we will not use it.
Robert Jan Vos: Okay. Thanks. The next question is about the pipeline, the craft that you always put in the press release at the end. It shows that, 31 clubs are under construction currently. This mean that, you will open the four clubs that you have already opened in the quarter plus these 31 clubs in Q2? And if not, can you maybe then elaborate a bit on the phasing of the club openings in 2025?
Rene Moos: Yes. So we will still open the clubs in April, May. Even though when the clubs are finished in June or July, we will not open them. So that could be that the clubs are ready in June and we open them half of August.
Robert Jan Vos: And in general about the phasing because you're already 41% completed -- basically, you completed your ambition to open approximately 100 clubs. Is it the rest of the not much in Q4, I assume, and the rest even you split between Q2 and Q3 roughly?
Rene Moos: So our focus is always opening as many clubs as possible in January, February, and opening as many clubs possible in September, October. The ideal period to open clubs, so January, September, but, that's not possible to have all the builders. So that never works, but we try to manage that to get as many clubs open in that period. And also sometimes, we take our time to open the clubs. So we start build outs a bit later because of the fact that we don't want to open them in June. So then, let's say the rent contract started, but we start one or two months later. So we can play with that. Also sometimes builders want to start, because they have the staff and don't have any work. So then we make an arrangement saying, okay, you can start, but we will pay you later. So many different but, of course, we know and we have been doing that for the last many, many years. We will manage the cash flow that we have available with the openings that we can afford.
Robert Jan Vos: Those were my questions. Thank you.
Operator: We will take our next question from Tim Ehlers, Kepler Cheuvreux. Your line is open. Please go ahead.
Tim Ehlers: Hi. Good afternoon, everyone. Thanks for taking my question. So the first one would be about the new membership structure you're going to introduce across the geographies. And my question would be, could you maybe explain your thinking behind it? And especially if I look at the change you just made very recently in France when you introduced the weekly subscription again, and what you hope will happen with that new membership structure? I mean, I get it that you eventually want to get rid of the premium bring another person situation. But, yeah, could you maybe explain a little bit the way of thinking behind it?
Rene Moos: Yes. So what we typically always test different things in the market, not only in fitness, but in all kinds of other businesses as well. So what is happening in the members, especially phone membership and so on. So is happening, what are people trying, what works? Of course, we build clubs where you can easily put in 4,000 or 4,500 people. We don't have that yet. So we're always happy to see more members join. So we always look at the right balance between amount of members and the yield. Of course, we lower the price to EUR 10, we will have more members. So it has to be a combination between the yield and the amount of members. So we're trying to optimize that. So for that, we try different things. So we try -- we have started now with the Ultimate making it more expensive, because what we actually saw is that, even though they didn't really see the huge difference between the Premium and the Ultimate. You see that a lot of people really tend to go to the higher, the people who are have the money and want the best membership are actually easily stepping over EUR 5 extra to put that way. So we see actually a bigger group of people going for the Premium, going for the Ultimate instead of the premium. Overall, we keep testing. So we tested the price per week that didn't make a big difference. So we stopped at that. This is actually working. We've tested it in the end of last year. We rolled it out in all countries except for Germany this year, since January 1st. And we saw a very good member in growth, but also a very good mix. You didn't see that immediately in the yield in the first quarter, but that's a seasonal thing. The people start with a big promotion, but you will definitely see some increase in the yields in, let's say, the coming year.
Tim Ehlers: Okay, great. So basically what you found out is that in France, customers are less sensitive to higher prices eventually. Because if I look at it, you basically increased the base price by EUR 5, so by 25%.
Rene Moos: That's correct.
Tim Ehlers: Okay. Great. Thanks for that. Then my next question would be about the openings. I mean you saw in Q1 that the openings were, as last year, highly skewed towards France and Spain. Is that how we also should look at the openings that are still coming in the rest of the year, that most of them will take place in those two regions?
Rene Moos: Yes. Yes, I would say that, we will see -- so we had nine openings in Germany. Yes, I would say that, if you look at the mix of the first quarter, something similar you will see in the rest of the year, correct.
Tim Ehlers: Okay. Great. Talking about Germany, could you maybe comment a bit on the market situation there, and how you see things developing? Is there good interest? Is the membership increased according to your expectation?
Rene Moos: Yes. The clubs we opened in the beginning, so the first ten clubs were not very successful. I must say the last 10 clubs are very successful or actually more than the last 10 clubs. It's going the right direction. We are new in Germany, so of course, always a bit more money. So you spend a bit more marketing and you're unknown, so you have to fight yourself into the market. We have 37 clubs open now. We will open a lot more, say, the coming period. So, yes, once we have this 50, 60 clubs and we are focusing on four regions now, I think you will see a good in growth of members.
Tim Ehlers: Okay. Great. And the reason why the first yeah, sorry.
Rene Moos: Yes. The reason why the first ten clubs were not very successful is a combination of things. Also, the competitors opening not opening, but giving six months for EUR 1 didn't help. We charge more. We thought EUR 1 for six months is not a lot. So that didn't help. But of course, you cannot do that. If we keep opening clubs, you cannot keep giving six months for EUR 1. So they clearly stopped with that, and so now it's a more normal situation. But yes, think Germany is a very big country. A lot of people, good economic, sticky members. So we are comfortable that for us, it will be a successful country in time.
Tim Ehlers: Okay. Sorry, one last question about Germany, and then I'll leave you alone. So you're not afraid that due to the quite high level of competition in Germany that you have to eventually just compete on prices and the yields would be quite under pressure in Germany?
Rene Moos: No. I think the there's actually low competition, personally. So when you look at the German fitness chains, they're growing, but they're growing by acquisitions. So they just put a new logo on a gym, and then they're growing as a company, but of course, you're not growing the market by just buying from each other. You're growing the market by opening new clubs. That's really not happening. So if you look at the bigger chains in Germany, they grow extremely slow, and it is a huge market. And the fitness penetration is very low if you compare it to The Netherlands, for example. And on that amount of inhabitants, there's a huge opportunity in Germany for growth.
Tim Ehlers: Thanks. It was very helpful.
Operator: [Operator Instructions] We will take our next question from Lynn Hautekeete, KBC Securities. Your line is open. Please go ahead.
Lynn Hautekeete: Good afternoon, everyone. I have a couple of questions regarding the tariffs The U.S. In case tariffs starts with retaliating tariffs, what will be the impact on your expansion CapEx for the fitness equipment?
Rene Moos: Yes. So we're not buying anything from The U.S., so that helps. So we will not have any significant impact. We buy from European and Asian countries. So the Trump tariffs will not have an effect on our club openings or our club cost. But, it's of course, a lot of things happening so that the tariffs could be a problem, recession, if you read in the paper could be a problem, but also, for example, if you talk about recession, we believe really that our membership development is will be really robust in a period like that. I've been in the business for more than 40 years now, and we've seen a lot of things happening, interest rate extremely high, recessional. So a lot of things happen in that period, and people cut back on big purchases like cars and big trips and TV screens and so on, but they really do not cut back on their health and social life. So it is really for us, of course, we don't hope there will be a recession clearly, but if there's a recession, we think we will not be hit. At least in the past, we actually grew in that period, because keep in mind that, we are a low cost company, so we might benefit actually from downgrading people, who have now higher membership, while we have exactly the same equipment. So it could work in our favor. Again, we're not hoping, on trade wars, and we're not hoping on recession. But if it happens, we don't think we get hurt.
Lynn Hautekeete: Perfect. You actually answered my second question as well. So, thanks for that. Have a nice day.
Operator: We will take our next question from Natasha Brilliant, UBS. Your line is open. Please go ahead.
Natasha Brilliant: Thank you very much. Two questions for me. The new facility and apologies if I missed it, but have you said what the interest rate is and how we should think about interest cost for next year if we assume that the put option is exercised and that you use the RCF, just what we should factor in for interest costs for next year? And then the second question, just coming back to your comments on the macro, anything to comment in the most recent weeks, any pickup in bad debt in any particular markets or just anything to call out that has changed? Thank you.
Maurice de Kleer: Thank you, Natasha. As to your first question about the interest, all the cost of the new bank facility is a bit higher than the cost of our current bank facility. But at the end of the day, it will not have any meaningful impacts on our financing cost this year. Of course, in the next 2026, I expect we expect an increase because the convertible bond is redeemed, then the 1.5% coupon is out. So not a lot for this year and some uptake for 2026. And then, maybe you could repeat your second question was about debt write-offs?
Natasha Brilliant: Yes. Just whether in you know, given the macro and given the volatility, whether there's anything to call out from trading in the last few weeks or through April in terms of bad debts or anything else, any change in trends, really?
Maurice de Kleer: Yeah. So we haven't -- if we take a look at that in a somewhat broader perspective, then over the past few years after COVID, we had a big clean-up in our debt and then an in growth in 2023. And we expect to be on a stable level right now. So for the remainder of the year, no surprises. We expect no surprise.
Rene Moos: If you look currently at the period that we have been through this year, so till let's say April, what we see is that the churn is lower. So we have more sticky members as we are. And the write-offs maybe also good to say is the more we go south, so the more we go to France and Spain, the more memberships we have over there. There we have a larger part of members that with lesser good paying discipline. So the more we grow in those countries, the bigger debt write offs we will have, but it's a limited percentage. So overall, the macro bad debt, of course, which on average, we charge EUR 25 a month. So that is not really a big impact on people. And again, what I said before, it's their social life. So it's also people visit us a lot, and it's a social thing. And you cannot enter when you didn't pay. So people who want to join and want to work out, yeah, they have to pay it, let's say, on average EUR 20, what is it, EUR 24.
Natasha Brilliant: That's clear. Can I just come back on the comment on the interest rate? Are you able to quantify what the increased cost will be for 2026?
Maurice de Kleer: No, Natasha. We're not getting into that that much in detail.
Rene Moos: Maybe to add to that, it is not a huge uptake. So what we're paying our current what we are paying our current banks, it is not more than 50% more, as an example. So it's a limited increase to what we are paying on our current bank debt.
Natasha Brilliant: Thank you.
Operator: We have reached the end of today conference call. I would like to hand over to Richard Piekaar for any closing remarks. Please go ahead, sir.
Richard Piekaar: Thank you. And thank you, everyone, for joining today. And if you have any follow-ups at any point, please don't hesitate to call Victoria or me. Thank you. Bye, bye.
Operator: Thank you for joining today's call. You may now disconnect.